Operator: Welcome to the Fate Therapeutics Second Quarter 2022 Financial Results Conference Call. [Operator Instructions] As a reminder, today's call is being recorded.  I would now like to introduce Scott Wolchko, President and CEO of Fate Therapeutics.
Scott Wolchko: Thank you. Good afternoon, and thanks, everyone, for joining us for the Fate Therapeutics Second Quarter 2022 Financial Results Call. Shortly after 4:00 p.m. Eastern Time today, we issued a press release with these results, which can be found on the Investors section of our website under Press Releases. In addition, our Form 10-Q for the quarter ended June 30, 2022, was filed shortly thereafter and can be found on the Investors section of our website under Financial Information. Before we begin, I'd like to remind everyone that except for statements of historical facts, the statements made by management and responses to questions on this conference call are forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that can cause actual results to differ materially from those in such forward-looking statements. Please see the forward-looking statement disclaimer on the company's earnings press release issued after the close of market today as well as the risk factors included in our Form 10-Q for the quarter ended June 30, 2022, that was filed with the SEC today. Undue reliance should not be placed on forward-looking statements, which speak only as of the date they are made as the facts and circumstances underlying these forward-looking statements may change. Except as required by law, Fate Therapeutics disclaims any obligation to update these forward-looking statements to reflect future information, events or circumstances. Joining me on today's call are Dr. Wayne Chu, our Chief Medical Officer; Ed Dulac, our Chief Financial Officer; and Dr. Bob Valamehr, our Chief Research and Development Officer. Today, we will highlight key objectives we are striving to achieve during the next 6 months with our off-the-shelf iPSC-derived NK and T cell programs for the treatment of cancer. Our top near-term focus remains our T cell malignancy franchise, where we are seeking to advance into late-stage development for relapsed/refractory aggressive lymphoma and to assess the feasibility of treating newly diagnosed patients in a community setting with FT596+R-CHOP without CY/FLU conditioning chemotherapy. We are also approaching key inflection points under our iPS-derived CAR NK and CAR T cell collaborations with Janssen and ONO where multiple programs are poised to advance towards IND submission. And with numerous hurdles continuing to challenge the manufacture and development of patient and donor-derived engineered cell therapies, we continue to believe iPSC technology is the winning platform for mass production of off-the-shelf multiplex engineered cell products. We look forward to sharing first-in-human clinical data from our engineered NK T cell cancer immunotherapy programs and to unveiling new multiplexed engineered IND candidates that further incorporate novel synthetic functionality for the treatment of cancer to during the next 6 months. In our pursuit of pivotal readiness with our iPS-derived NK cell programs for relapsed refractory aggressive B-cell lymphoma, we continue to make great strides across our clinical, regulatory and manufacturing operations. Under our Phase I study of FT596 in combination with rituximab, we observed a favorable safety profile in our single dose and 2 dose escalation cohorts at up to 900 million cells per dose. And we are continuing to further evaluate dose and schedule to maximize therapeutic index. To that end, we have initiated enrollment in a single dose and 2 dose cohorts at 1.8 billion cells per dose. And upon clearance of dose-limiting toxicities, we are set to open a 3-dose cohort at 1.8 billion cells per dose to evaluate a further increase in cell load. Eligible patients are permitted to receive additional cycles of treatment. And the clinical protocol allows for further dose escalation and for the initiation of multiple expansion cohorts at any clear dosing schedule. On the regulatory front, our FT516 RMAT Type B multidisciplinary meeting with the FDA is scheduled for the third quarter. The agenda includes a discussion of multiple registrational pathways that may be available for our off-the-shelf iPS-derived NK cell programs for relapsed refractory aggressive B-cell lymphoma, including in patients whose disease is refractory to or have relapsed following prior treatment with FDA-approved CD19-targeted CAR T cell therapy. Importantly, no standard therapies are available for these patients, and real-world data continue to indicate that these patients have extremely poor treatment outcomes. With respect to manufacturing, our state-of-the-art multi-drug product manufacturing facility located in Poway, California has opened and is poised for GMP production with aseptic process validation now successfully completed and engineering runs ongoing. The facility is designed to supply drug products for the conduct of pivotal studies and initial commercial launch and is located on the campus of the company's corporate headquarters, allowing for full operational integration among the technical operations, regulatory quality, research and development and corporate teams. Across our clinical, regulatory and manufacturing operations, we remain well-positioned to optimize dosing schedule of FT596 to chart a regulatory pathway toward approval with input from the FDA and to mass produce drug product for pivotal study execution from our state-of-the-art GMP facility. We look forward to providing a comprehensive update for our IPS-derived NK cell programs in relapsed/refractory B-cell lymphoma as we continue to progress these 3 key franchise pillars over the coming months. In addition to delivering transformative outcomes to heavily pretreated patients with relapsed refractory B-cell lymphoma, we are also seeking to reach patients in the community setting who might benefit from earlier treatment with cell-based cancer immunotherapy. We believe the use of intense conditioning chemotherapy that accompanies the administration of both autologous and allogeneic cell-based cancer immunotherapies is a significant barrier to broader patient access. And that the delivery of off-the-shelf cell therapies in the community setting as an add-on to frontline immunochemotherapy regimens with CY/FLU conditioning chemotherapy may hold significant therapeutic value for many patients. To that end, we have worked with key opinion leaders and investigators to finalize a clinical protocol that brings FT596 to newly diagnosed patients with aggressive lymphoma in the community setting in combination with R-CHOP, the standard first-line treatment regimen. The clinical protocol assessing FT596+R-CHOP in patients with newly diagnosed aggressive lymphoma has been submitted to the FT596 IND. The treatment schema allows for the administration of up to 6 doses of FT596 with outsized flu conditioning chemotherapy. Each 1 dose of FT596 administered with each of 6 standard cycle for R-CHOP. Study start-up activities are ongoing at multiple sites, and we expect to begin treating patients with FT596+R-CHOP in the second half of 2022. In addition, as part of our quest to substantially reduce or eliminate their requirement for conditioning chemotherapy in the field of cell-based cancer immunotherapy and reach patients earlier in care, we continue to research new synthetic functional elements for integration into our product candidates that can harness a patient's intact immune system to potentiate the activity and persistence of adoptively transferred cells. At the American Association for Cancer Research in April, we unveiled our proprietary alloimmune defense receptor or ADR, which selectively targets 4-1BB expressing activated immune cells. In preclinical models, we showed that ADR armed iPSC-derived NK cells uniquely expand, persist and maintain antitumor activity in vitro in the presence of alloreactive T cells. These preclinical data provide proof of concept that ADR arm cell therapies have the potential to persist and induce potent antitumor activity without requiring a patient to undergo conditioning chemotherapy. During the second half of 2022, we expect to present new preclinical data for our ADR technology and highlight its integration into a next-generation NK cell product candidate. Turning to our collaborations with Janssen and Ono. We continue to show strong momentum in bringing multiplexed engineered IPS-derived CAR NK and CAR-T cell collaboration programs to patients for the treatment of hematologic malignancies and solid tumors. And we are reaching key inflection points where multiple candidates are poised to advance towards IND submission. Under our collaboration with Janssen, entered into in April 2020, Janssen designated and contributed novel binding domains targeting 4 tumor-associated antigen programs, two of which are directed to hematologic malignancies and two of which are directed to solid tumors. Jansen maintains the option, subject to its payment of an option exercise fee prior to IND submission to initiate worldwide clinical development of and to commercialize collaboration products under each antigen program. We maintain an opt-in right to co-commercialize and share equally in profits and losses of collaboration products in the U.S. under each antigen program. In May, Janssen exercised its option on a first antigen program, triggering a $10 million payment to fee, and we have now advanced a second antigen program to the stage of option exercise decision. We are currently working with Janssen to prepare and submit 2 IND applications: one for each of these two antigen programs for off-the-shelf iPS-derived CAR NK cell collaboration products. Under our collaboration with Ono entered into September 2018, Ono has contributed novel binding domains targeting one solid tumor-associated antigen for development of off-the-shelf iPS-derived CAR T-cell therapy. Upon the achievement of a specified preclinical milestone, Ono retains the option subject to its payment of an option exercise fee to conduct worldwide clinical development and commercialization. And we maintain the right to co-develop and co-commercialize collaboration products in the U.S. and Europe. We have now initiated the generation of the master cell bank for a multiplexed engineered iPSC-derived CAR T cell collaboration candidate and are positioned to achieve the specified preclinical milestone and initiate IND-enabling activities later this year, at which time Ono has the right to exercise its option subject to its payment of the option exercise fee. Given the success we have achieved working together on a first solid tumor antigen program, we expanded our collaboration with Ono in the second quarter to add a second solid tumor antigen program and to include the development of both CAR NK and CAR-T cell collaboration candidates. We are very pleased with the success we've achieved with Janssen and Ono in developing multiplexed engineered IPS-derived CAR NK and CAR-T cell product candidates for both liquid and solid tumors. We are poised to achieve significant milestones in connection with option exercises by Janssen and Ono and advance multiple collaboration products toward IND submission over the next 6 months. During the second half of 2022, we will take the opportunity to showcase our leadership in the development of iPS-derived NK and T cell cancer immunotherapies, including for solid tumors at the Society for Immunotherapy of Cancer Annual Meeting in November and for hematologic malignancies at the American Society of Hematology Annual Meeting in December. At SITC, we look forward to highlighting our clinical progress and innovation under our solid tumor franchise where we continue to invest in building a deep pipeline of multiplexed engineered IPS-derived CAR NK and T cell product cadets, including through the development and incorporation of new synthetic elements designed to overcome critical barriers that limit the effectiveness of cell therapy, such as cell homing, tumor escape and immunosuppressive tumor microenvironment. In the second quarter, I am pleased to announce that we treated the first patient in our multicenter Phase I study of FT536, the company's first ever iPSC-derived CAR NK cell program for solid tumors. FT536 incorporates a novel CAR targeting the major histocompatibility complex Class I related proteins A and B. High expression of MICA and MICB proteins, which is induced by cellular stress, damage or transformation has been reported on many solid tumors. However, proteolytic shedding of the alpha-1 and alpha-2 domains of these proteins is a common mechanism of tumor escape. FT536 uniquely targets the alpha-3 domain of MICA and MICB, which is resistant to shedding and therefore represents a promising strategy to overcome tumor escape. We believe the product candidate's novel mechanism of action, including its ability to target other antigens in combination with monoclonal antibody therapy [Technical Difficulty] IPS-derived CAR-T cell product candidates for solid tumors that are advancing towards IND-enabling studies, which include an iPS-derived CAR T cell product candidate that incorporates 7 synthetic modalities to overcome tumor heterogeneity, promote trafficking and induce activation in response to repressive signaling in the tumor microenvironment. We believe we have one of the most novel, diverse and sophisticated cell-based cancer immunotherapy pipelines for solid tumors, which is uniquely enabled by our proprietary iPSC product platform. At ASH, we are also excited to share clinical data across our hematologic malignancy franchises. In addition to our NK cell franchise in lymphoma, we continue to see investigator enthusiasm for our off-the-shelf iPS-derived CAR T cell program, FT819. On multiple fronts, FT819 is truly a unique first-in-class product candidate. Not only is it the first-ever iPS-derived T cell therapy to undergo clinical investigation. FT819 incorporates a biolelic insertion of an anti-CD19 CAR transgene into the T-cell receptor alpha constant locus with complete disruption of T-cell receptor expression. And its CAR construct is comprised of a novel 1XX costimulatory domain that is designed to balance T-cell activation and exhaustion. In the setting of relapsed/refractory AML, we look forward to sharing clinical data with FT538, both as a monotherapy and in combination with daratumumab in the high dose, multi-dose cohorts, where we are now treating the first patients in 3 dose cohorts at 1.5 billion cells per dose. And finally, in setting of relapsed/refractory multiple myeloma, while dose escalation with FT576 is ongoing in the low-dose cohorts and with single-dose treatment schedules, we look forward to seeing the initial activity profile of our novel BCMA binder and to assess the multiple potential benefits conferred in combining FT576 with daratumumab, including enabling multiantigen targeting of BCMA and CD38 as well as reducing competition from endogenous immune cells for cytokines to further potentiate the functional persistence of FT576. I would now like to turn the call over to Ed to highlight our second quarter financial results.
Ed Dulac: Thank you, Scott, and good afternoon. Fate Therapeutics is in a strong financial position to advance our pipeline. Our cash, cash equivalents and investments at the end of the second quarter of 2022 were approximately $581 million. In the second quarter of this year, our collaboration revenue derived from our partnerships with Janssen and Ono Pharmaceutical increased by $5.1 million to $18.5 million compared to $13.4 million for the same period last year. Research and development expenses for the second quarter increased by $33.3 million to $81.3 million compared to $48 million for the same period last year. The increase in our R&D expenses was attributable primarily to increases in employee headcount and compensation, including share-based compensation, investments made in equipment and materials and in expenses associated with R&D fees and third-party consultants. General and administrative expenses for the second quarter increased by $8.2 million to $20.4 million compared to $12.2 million for the same period last year. The increase in our G&A expenses was attributable primarily to an increase in employee headcount and compensation, including share-based compensation and legal expenses. Total operating expenses for the second quarter were $101.7 million, which includes $20.5 million in noncash share-based compensation expense. Please note that in connection with the development of our off-the-shelf iPSC-derived CAR T-cell product candidate, FT819, we previously achieved the first clinical milestone set forth in our amended license agreement with Memorial Sloan Kettering Cancer Center, thereby triggering a first milestone payment to MSK in 2021. Up to 2 additional milestone payments may be owed to MSK based on subsequent trading values of the company's common stock, ranging from $100 to $150 per share. We assess the fair value of these contingent milestone payments currently valued at $9.9 million on a quarterly basis. In the second quarter, we recorded a noncash $5.9 million nonoperating benefit associated with the change in fair value. Our net loss for the second quarter of 2022 was $76.1 million or $0.79 per share. Finally, our year-end cash guidance remains unchanged, and we expect to end this year with at least $400 million in cash, cash equivalents and investments. This does not include potential success-based milestone payments from our collaborations with Janssen and Ono Pharmaceutical. I would now like to open the call to questions.
Operator: [Operator Instructions] Your first question is coming from Tazeen Ahmad of Bank of America.
Tazeen Ahmad: Maybe a point of clarification for this RMAT meeting that you scheduled this quarter for 516. Can you just give us a little bit more visibility on what you'll be discussing at the meeting? And when should we expect to hear back how that meeting went? I would have a follow-up after that.
Scott Wolchko: Sure. I mean -- so I'm not going to get into the details of the regulatory discussion. But suffice it to say, we are going to discuss multiple different registrational pathways for our iPS-derived cell product candidates. We think those registrational pathways are applicable to both FT516 as well as FT596. In particular, while we will focus on some development pathways that are more broadly applicable, specifically, I think we will drill down on the patient population that is post CAR T cell therapy as we believe that is a potential fast-to-market strategy. And we would like to confirm specifically a study design with the FDA in that patient population. I'm sorry, with respect to timing, usually you will receive minutes from the FDA, documenting the conversation and the findings within about 30 days of.
Tazeen Ahmad: Okay. And then I guess you'll wait for the minutes to advise us of what's next?
Scott Wolchko: Correct. I certainly don't want to jump the gun on an FDA discussion.
Tazeen Ahmad: Yes, of course. Understood. And then as it relates to the 596 and rituximab studies, the 1.8 billion cell dose cohort, when do you think we can start to see data from that? And what type of data should we expect to be good data based on what you're looking for?
Scott Wolchko: Sure. I'll turn it over to Wayne to comment on it. With respect to a little bit in terms of what we think would be good data, I think, again, feasibility that we can give FT596 in combination with R-CHOP and with CY/FLU would be interesting. And again, many of those validation sets of data will be based on translational. So for instance, we can continue to look at FT596 and how it performs in the first cycle versus the sixth cycle of R-CHOP. And certainly, we can compare that to how FT596 performs from a translational perspective versus CY/FLU, given the number of patients we've treated. I'll let Wayne talk about the study a little bit.
Yu-Waye Chu: Yes. So with respect to the study, as was mentioned, the FT596 protocol allows for a lot of different options with respect to the dosing schedule, right? So currently we're initiating a dose cohort where we are administering FT596 at 1.8 billion cells per dose administered twice in the cycle. And once we clear that, then the plan will be to further go in different directions with respect to dose and schedule optimization, including the possibility of further dose escalation as well as giving more doses, i.e., 3 doses in a given treatment cycle, so.
Scott Wolchko: That's in the relapsed/refractory setting.
Yu-Waye Chu: That's in the relapsed/refractory setting, correct.
Scott Wolchko: In the frontline setting.
Yu-Waye Chu: In the frontline setting, it's a little bit different because we're giving a single dose of FT596 following a standard cycle of RCHOP. So as far as like data availability, it all depends on how quickly we can enroll just knowing the fact that getting initial responses will take some time just based on what we have per protocol. So as soon as we have that data, we will obviously be sharing that with you.
Operator: Your next question is coming from Michael Schmidt of Guggenheim Securities.
Kelsey Goodwin : This is Kelsey on for Michael. I guess first, how do you think about the evolving post CAR-T landscape now that we're starting to see filings for the bispecific antibodies, which have shown pretty compelling post CAR-T activity. And then maybe building upon that last question, I guess, as you continue evaluating the higher cell dose as well as multiple cycles for 596, I guess what gives you confidence that you'll have enough data with enough follow-up by year-end to determine if this is the go-forward asset?
Scott Wolchko: Yes, absolutely. I think your first question, I think, is directly on point. Absolutely. I think the -- whether it be lymphoma, post-CAR T cell or more broadly, obviously it's a dynamic landscape. And so when we've looked at the data that's certainly public around the T cell engagers, it's very encouraging, especially to what is out there today where there really is no standard of care and response rates are probably in the teens, progression-free survival is in a couple of months -- is measured in a couple of months. So I do think the T cell engagers are potentially absolutely a step forward there in that setting. And I think when we think about target product profile, we're certainly keeping the T cell engagers in mind, whether that be in late-line patients or actually in earlier line patients, where we also expect the T cell engagers to make inroads. I think given this patient population, to be clear, I think the durability of response, given what is -- I don't want to say a standard of care today, what is used today, as I mentioned, most patients, you can measure progression-free survival in 2 to 3 months and overall survival in 5 to 6 months. So I don't necessarily think we need a tremendous amount of long-term durability data to understand whether we're having an impact with respect to durability of response in these late-line patients, post CAR T.
Kelsey Goodwin : Great. And then maybe the second one.
Scott Wolchko: Sorry, what was your second question? I apologize.
Kelsey Goodwin : Yes. That's okay. I had a long question. I guess just kind of as 596 continues to progress and you're evaluating the higher cell dose and the multiple cycles, I guess what kind of gives you the confidence that you'll have enough data with enough follow-up by year end to kind of make that go-forward decision with one or the other?
Scott Wolchko: Yes. So I mean I think we continue to subscribe to the fact that, especially in aggressive lymphoma, that responses happen quickly. There's a lot of data sets obviously to document that in the CAR T -- in autologous CAR T-cell land. We certainly have data from our investigators, and we have obviously our own data sets to suggest and continue to reinforce that responses happen quickly. So I think we don't necessarily have to have long-term durability to determine whether or not we think the assets are meeting the appropriate target product profile will ultimately be highly competitive.
Operator: Your next question is coming from Tyler Van Buren of Cowen.
Tyler Van Buren: As we think about the update on the year-end with FT516 and 596, can you give us a sense of how many patients will have 12 months of follow-up by the ASH cutoff? And when we think about potential denominator for assessing 12-month CR rate. And what do you believe is the minimum bar to be competitive with autologous CAR T bispecifics? And do you think this will be a relatively definitive observation of long-term durability for your platform, which I guess you just answered to some extent?
Scott Wolchko: Yes. I mean there's 5 questions in there. I mean at some basic level, we do not necessarily expect that we're going to have long-term durability data on the high-dose cohorts, given that we're just initiating at 1.8 billion cells, whether that be 1 dose, 2 dose or 3 doses. So relatively speaking, at the high dose cohorts, we think the data will still be emerging at those higher doses. How we compete with T cell engagers or CAR T cell therapy, I think it really depends on the setting. I don't think patient-derived CAR T cell therapy is a line of therapy post CAR-T. So I don't think that is something you're competing with post CAR-T. T cell engagers, absolutely. I think T cell engagers will be used post CAR T. So I think that is a force of competition. In terms of earlier line usage, I do not believe that autologous CAR T cell therapy or even cell therapies that significantly rely on CY/FLU will be broadly utilized in early line therapy in the community. Although again, once again, I do think T cell engagers will be used there. So I think in the earlier line settings, I think T cell engagers are a competitive force. At Memorial Sloan Kettering and MD Anderson, absolutely autologous CAR T cell therapy is a bar. That said, I believe there still continues to be at, for instance, those specialized centers, a significant number of patients that do not receive autologous CAR T cell therapies for a number of reasons. And that I do think provides an opportunity even at those specialized centers for folks developing allogeneic and off-the-shelf solutions.
Operator: Your next question is coming from Yigal Nochomovitz from Citigroup.
Ashiq Mubarack: This is Ashiq Mubarack on for Yigal. I guess maybe thinking about this from a slightly broader perspective, with [Indiscernible] now moving into the second line in BCL, given the success of the TRANSFORM and ZUMA trials, does that change your thinking in terms of the commercial strategy? Of course, we know you're starting with the post CD19 CAR T setting. But as you're thinking about the frontline setting, do you maybe think at some point as the CAR Ts move higher, that you'll have to do some type of head-to-head study with the CAR Ts with either 516 or 596?
Scott Wolchko: I think longer term, certainly, that's a possibility. So I do think, quite honestly, while there was a study certainly run in a second-line setting, I continue to believe that post CAR T-cell therapy will have substantial challenges moving it to the second line in the community setting. And so as we think about the landscape, we tend to think about it in 3 buckets. We tend to think about the community setting, we tend to think about the specialized centers, and we tend to think about patients that are very late line post CAR T cell therapy. I think as I sort of just discussed, I think post CAR T cells post CD19 CAR T cell therapy, I think the landscape -- patient outcomes are fairly dismal. Although, again, I think we've just recently seen T cell engagers show some promising responses post CAR-T. I think in the early line settings, I continue to believe that the standard chemo immunotherapy regimens that are used and have been used over the course of years will continue to be the backbone in treating patients early in the community setting. And our strategy is to simply add a cell therapy without CY/FLU onto those regimens. And we believe that, that is a winning strategy compared to CY/FLU plus CAR T.
Ashiq Mubarack: Okay. Got it. And then maybe 1 follow-up. I know you'll be speaking with the FDA later this quarter, but is there a sense that you still -- is your sense that you'll still need to just conduct a single-arm study in B-cell lymphoma for post-CD19 CAR-T setting? Or do you think that is still really open to debate?
Scott Wolchko: Well, we certainly know that with a more definitive view in the next couple of months, I believe if I look at the landscape generally of late-line cancer salvage setting, I do believe that the FDA will be open, albeit it may be an accelerated approval, I do believe the FDA will be open to a single-arm study.
Operator: Your next question is coming from Michael Yee of Jefferies.
Michael Yee: I guess pivoting away from lymphoma for a moment. Can you just remind us, since it sounds like you will give an update on solid tumors around SITC, whether that would be mostly 538 with the ongoing 3 antibodies and how to put that into context? And it feels like 536 MICA/B is just early. So I presume nothing there. So maybe just talk a little bit about 538 or what we would get there. And then with myeloma, you could understand that huge market and certainly similar to post-CAR CD19, there's a post-BCMA market. So with 53 and 576 ongoing, how do you think about what's needed there given that BCMA as a bar, but maybe also just post-BCMA what we have data there to give us some picture at the end of the year?
Scott Wolchko: Sure. Yes, I think -- I'll take your last question first. I think multiple myeloma market and our strategy will be very similar to what has played out so far in lymphoma. So with both 538 and 576, I mean, certainly we are getting patients that have been previously treated with BCMA-targeted therapies. And I do believe there will be an opportunity to rapidly advance a product candidate towards in a registrational pathway where you are treating patients that, for instance, are post-CAR T cell therapy, BCMA targeted therapy. Very similar to, for instance, the strategy in lymphoma, post-CD19 for T cell therapy. So I think that opportunity will exist. Again, I do think our strategy, again, will be very similar. We will look to take, for instance, FT576 given that it can combine, is designed to combine with daratumumab, which is used early and often. We do believe there are some foundational synergies with daratumumab that we will be able to move this product candidate into early line therapy and treat patients in the community. For CAR T cell therapy, understanding there's been studies run certainly may have difficult in actuality reaching large numbers of patients. So I think the multiple myeloma strategy will play out very similarly to lymphoma, just in terms of how we're seeing the landscape today. In terms of SITC, I think we are going to take the opportunity to showcase the solid tumor franchise broadly. That will certainly include clinical data with 538, albeit early, we're still earlier in dose escalation with actually 536 -- we extend -- we have early clinical data, I'm actually happy to talk about early clinical data with FT536. It's a very novel product, novel targeting strategy. And we will certainly take the opportunity to discuss innovation as well as collaboration product candidates that are emerging. So I expect us to give sort of a full update on our solid tumor franchise which would include clinical as well as preclinical as well as collaboration candidates that are emerging.
Michael Yee: Perfect. And just to clarify your comment on myeloma. BCMA does set a high bar in the later line. So if you do have patients post-BCMA similar to what we're talking about in lymphoma, if you see CRs there or PRs, that would be compelling to you?
Scott Wolchko: Yes, absolutely. And this is why I think FT576, like FT596 is differentiated, right? At some basic level we are -- we have built products in lymphoma and myeloma that are designed to synergize with monoclonal antibody therapy and they're designed to enable multiantigen targeting -- and with respect to 20 in lymphoma and certainly CD38 in myeloma, they tend to be more durably expressed targets as well.
Operator: Your next question is coming from Peter Lawson of Barclays.
Unidentified Analyst: This is [Shian] for Peter. Ahead of the ASH update that you've mentioned, should we still be thinking that there's an update around summer time such as August for 516 and 596. And would you be including an update on the outcomes for the RMAT meeting at this time? Or would it be too soon? And I just have a quick follow-up after that.
Scott Wolchko: So it would be very difficult for us to provide an RMAT discussion in August. The meeting, I think, is scheduled -- while scheduled for the third quarter, we will certainly wait for minutes to come back from the FDA before having and fully digesting the update of that regulatory discussion. I think our plans are to provide a -- at this point is to provide a comprehensive update on our development strategy in lymphoma with respect to our NK cells. And to provide a comprehensive update, we certainly would like the regulatory feedback. We're expecting to get obviously data at higher dose levels in 3 dose cohorts and on the manufacturing pillar being in a position to -- in a position to have launched production of clinical -- of a pivotal product. So I think we're looking to do a comprehensive update. We won't do it in August, but certainly looking to do that within the next 6 months.
Unidentified Analyst: Okay. Understood. So a more comprehensive picture maybe around ASH update time frame. And then given that meeting is in 3Q, how should we be thinking of whether the pivotal study in post CAR-T patients potentially could start by year-end? Or should we think that's more likely a first half event? And is 596 still on the table along with 516.
Scott Wolchko: Yes. So I think we're going to continue -- we'll have the discussion with the FDA with respect to the franchise. We'll continue to generate more data with 516 and 596. We'll obviously be able to -- be in a position to make a decision on a product candidate. I suspect the product candidate, we will be advancing, will be a multi-antigen targeted product candidate, i.e., FT596 as we think that has broad applicability throughout the lines of care in lymphoma.
Michael Yee: Okay. Great. That's helpful color. And so I imagine there's been dialogue with the FDA around 596 beyond this RMAT meeting for [indiscernible]
Scott Wolchko: Well, yes, to be fair, most of the conversation agenda discussion points are agnostic to product candidate.
Operator: Your next question is coming from Nick Abbott of Wells Fargo.
James Shin: This is James Shin on for Nick. Just 2 quick ones from our end. Will there be an update for 538 AML program on top of the [cellular] treatment program by the end of this year? And then number two, I'm not sure how much you can say about the Shoreline lawsuit, but is there any idea when this could resolve or when we could hear an update?
Scott Wolchko: So the last question is easy. I'm not going to comment on intellectual property litigation other than to say we believe we have foundational intellectual property related to IPS cell technology that can be broadly applied in the field and more specifically to NK cell and T-cell cancer immunotherapy. With respect to FT538 in AML, we are dosing at the highest dose level lease that is currently allowed under the protocol, 1.5 billion cells, multiple doses, 3 doses in a cycle. And yes, we believe we'll be in a position to provide an update on FT538 in relapsed/refractory AML ASH.
Operator: Your next question is coming from Matt Biegler from Oppenheimer.
Matt Biegler: Just a question on the CAR T cellular treatment setting. It sounds like you're defining it as both relapse and/or refractory. I know we've seen really good remissions induced in the relapse setting, but can you just kind of remind us where we're at with refractory, have we seen any efficacy there?
Scott Wolchko: So I think the data that we've reported to date, in the patients that are more refractory, we have seen less success than the patients that for instance have previously responded. I think it's too swift still relatively speaking smaller data sets where we would make a clear distinction between relapse versus refractory. Obviously, most of our data sets to date that we've disclosed publicly have been at lower doses and using only a single dose regimen. Obviously we're now getting to the point where we're at higher doses, multi-dose regimens and significantly increasing the cell load during the first 2 weeks. I think it would be premature today for us to, for instance, solely select patients that are relapsed.
Operator: Your next question is coming from Daina Graybosch from SVB Securities.
Daina Graybosch: First one -- 2 questions, one on R-CHOP. I wonder if you can talk about the unique biological impact of CHOP chemotherapy versus CY/FLU and why you think it could be a good conditioning regimen for FT596 in particular versus other cell therapies. And the second question on that is why go with 1 dose of FT596 with R-CHOP before you get all the data for the multiple doses in the relapsed/refractory setting?
Scott Wolchko: Okay. So I'll let Wayne chime in when I miss some stuff, which I will. So the last question, let me just clear up any confusion. So as you know, a CHOP cycle is 21 days, right? And so we are giving a single dose within each cycle. And so for instance, CHOP is delivered over typically the first 5 days in a cycle. And then we will add on FT596 probably 3 or 4 days after that. So think about day 8 to day 10. We are moving into frontline patients. And in all seriousness I think it is prudent for us in these frontline patients to start with a single dose for each cycle. That does not mean that we can't increase cellular load, either through dose escalation or multiple doses in R-CHOP. But given the frontline patients and given the history of these patients, I think starting out with a single dose in a cycle does make sense. And keep in mind, we have historically seen to date even at lower doses single dose a persistence profile of FT596 of approximately 14 days, which fits very -- so a single dose would fit very nicely into a 21-day cycle, as an example. With respect to R-CHOP, I think this is the interesting thing about this. We don't know, cell therapy has historically relied on CY/FLU as a conditioning regimen. The biological sort of mechanism of action in CY/FLU I think is probably multifactorial. I tend to think it has to do with a cytokine spike that potentiates cells and reduces the competitive forces that come from the patients on these cells for those cytokines. With respect to R-CHOP, I think the question is going to be, is that cytokine spike with R-CHOP comparable to CY/FLU. And we will -- I think we'll be able to get a very good sense of that very early on with respect to the translational data.  Keep in mind, one benefit and the unique benefit of FT596 compared to any other cell therapies that have potentially tried to do this in the past. And I can't think of one off the top of my head, FT596 has the benefit of twofold. Number one, it has IL-15 receptor fusion, so it has its own fueling mechanism such that it is less dependent on CY/FLU. And number two, it's design to synergize with rituximab, which obviously will act as our potentiating signal as well. Wayne, do you have any comments on R-CHOP versus…
Yu-Waye Chu: No, other than I think it's an important question to address, right, and which is why we feel it's an important study to conduct, right? And even with FLU/CY I would just point out that there's a lot of heterogeneity with respect to the doses of FLU and CY loans even in the multiply relapsed refractory setting. So I think the main question we want to address is are other chemotherapy regimens such as CHOP sufficient to support INK function and persistence. And that's what we aim to do in this study.
Scott Wolchko: And I think there is not necessarily what R-CHOP do, I think has been demonstrated. But I think with, for instance, bendamustine, I think it's been clearly demonstrated that you can replace, for instance, CY/Flu with bendamustine in lymphoma. There's a lot of data out there, and there's data that I'm aware of that I don't believe is published yet, that is going to reinforce that, for instance, bendamustine can be used very effectively instead of CY/FLU. So I think the potential is to plug into standard immunochemotherapy regimens in early line in the community setting, I think is where the field of cell therapy needs to drive.
Operator: Your next question is coming from Robyn Kay Karnauskas from Truist Securities.
Robyn Kay Karnauskas: I just have a few, and these are really simple clarifications. So just regarding data readout. You said you want to have a comprehensive data readout in the next 6 months. But I think you also said we'll have it at ASH. Can you just give more clarity, are we for sure going to have data, I think, on 596 at least at higher doses like $900 million, maybe not the top dose at ASH? Or are you thinking that potentially well some data and then a more comprehensive read out a little bit later. I'm just trying to understand the cadence of data in the second half of the year.
Scott Wolchko: Yes, it's really -- we're going to provide -- our goal is to provide a comprehensive update whether that takes place at ASH as part of the formal ASH conference, whether that takes place at an investor event at ASH or whether that takes place, for instance, in January. We want to provide a comprehensive update across the program. And that would include both the regulatory, manufacturing and clinical pillars. I believe that will happen in the next 6 months.
Robyn Kay Karnauskas: Okay. And then you are having your RMAT meeting this quarter. Would you still be on track for starting a trial by the end of the year? Or could that be pushed out to early next year?
Scott Wolchko: Certainly going to depend on an RMAT discussion. It will depend what kind of feedback we get from the FDA with respect to our proposed design of a study. But I do think at least from a manufacturing perspective, we'll be well-positioned to produce pivotal material. The regulatory strategy will come into clarity within the next couple of months. And obviously, the clinical data will be further elucidated in the next couple of months.
Robyn Kay Karnauskas: Got it. That's really helpful. And then the last question is more broad. So you showed the preclinical data of AACR and ADR. With the trends for delivering a more potent burst of cell therapy to get around and getting around Flu/CY, is ADR enough? Or do you have to do more things to create that super first dose high dose or high response rate with first -- on first dose with cell therapy. So I guess fair question, is ADR enough, or what else do you think we need to see or do to actually get yourselves at that high…
Scott Wolchko: Yes, well, to be clear, I mean, we're investing in innovation. So as an example, we just had a discussion around FT596 plus R-CHOP. For all -- again, we have to run the experiment, R-CHOP may be sufficient in potentiating FT596. We have to run that experiment. That said, I mean, we want to continue to invest in innovation. I do think with an NK cell NK cell, the trick with NK cells or sort of a mission with NK cells is to continue to focus on the potentiation signals that essentially induce activity on these cells. I also think, as we've been having a conversation, obviously, continuing to reduce or eliminate the dependency on CY/FLU is going to be absolutely critical to broad patient utilization, whether that's lymphoma, myeloma and solid tumors. And so I think as we think about continuing to innovate a technology, for instance, or an approach like ADR, where we think the cells can be absolutely potentiated by leveraging an intact immune system is highly differentiating, very unique, and that technology if successful would allow cell therapies to be used early and often in treating patients, whether that be lymphoma, myeloma or cellular tumors.
Operator: Your next question is coming from Mara Goldstein from Mizuho.
Unidentified Analyst: This is [Indiscernible] for Mara. I have a question on the RMAT, on the RMAT meeting. Will you also discuss the CMC aspect of the product in addition to the clinical discussion? And also, obviously, depending on the outcome of the meeting and the possibility of the trial start, does that -- do you anticipate a change to the thoughts about cash for 2023? And I have a follow-up.
Scott Wolchko: So the RMAT discussion that we're having in the third quarter will include some CMC topics -- but one of the benefits of RMAT is that you can frequently engage the FDA. So we may be in a position where we would like to have a rapid follow-on meeting with the FDA to, for instance, delve more deeply into, for instance, some of the CMC questions. I would say, generally speaking, yes, there are absolutely some CMC questions that we want to delve into. So for instance, potency assay is something that frequently comes up in the world with cell therapies. That said, keep in mind, we've been working with the FDA over the past 3 years on CMC manufacturer of iPS-derived cell therapy. And so over the course of the past 3 years, we've had lots of interaction, quite frankly, with the FDA on CMC, and we actually believe we're in a pretty good position with respect to CMC for IPS-derived NK and T cell product candidates. Given the interaction over the past 3 years and the multiple INDs that we have cleared during and over that period of time. With respect to burn, our current burn and projections obviously do assume we're advancing in 2 pivotal studies.
Unidentified Analyst: Got it. My second question is on the multiple myeloma study. And it was touched on a little bit earlier, but just curious for the study of 576, particularly the combo with [ZARA], what studies or what agents should be used as a benchmark? Or should we think of that in terms of comparing it to the bispecific, for example? Like can you add some clarity on that?
Scott Wolchko: Yes. Again, I say this a lot. I think the comparator depends on the setting. So I think if -- I think that's what matters at the end of the day, it's what line of therapy you're in, what setting of intervention? Are you in an academic center? Are you in a patient -- in a community setting? Are you down line of a therapy that has failed. I think all of that matters. We're early in dose escalation. We're looking for activity and synergy with daratumumab, activity of the [Indiscernible] synergy with daratumumab.
Unidentified Analyst: Right. And lastly, at ASH [Indiscernible] do you anticipate to have like some kind of in-person corporate meeting? Or is it just purely as a conference?
Scott Wolchko: That's TBD.
Operator: Okay. We don't appear to have any further questions in the queue. I will now hand back for any closing remarks.
Scott Wolchko: Perfect. Thank you, everyone, for your participation today. Appreciated all the great questions. Be following up very soon. Be well.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.